Operator: Good morning, ladies and gentlemen. Welcome to the Plexus Corp. conference call regarding its fiscal year 2009 earnings announcement. At this time, all participants are in a listen-only mode. After a brief discussion by management, we will open the conference for questions. The conference call is scheduled to last approximately one hour. I would now like to turn the conference over to Mr. Angelo Ninivaggi, Plexus Vice President, General Counsel and Secretary. Angelo?
Angelo Ninivaggi: Thank you, Jennifer. Hello, everyone. Thank you for joining us this morning. Before we begin, I would like to establish that statements made during this conference call that are not historical in nature, such as statements in the future tense and statements including believe, expect, intend, plan, anticipate and similar terms and concepts are forward-looking statements. Forward-looking statements are not guarantees since there are inherent difficulties in predicting future results, and actual results could differ materially from those expressed or implied in the forward-looking statements. For a list of major factors that could cause actual results to differ materially from those projected, please refer to the company's periodic SEC filings, particularly the risk factors in our most recent Form 10-Q filing. The company provides non-GAAP supplemental information. For example, our call today, like our press release yesterday, will refer to earnings or EPS excluding restructuring costs, goodwill impairment and a discrete tax adjustment. Non-GAAP financial data is provided to facilitate meaningful period-to-period comparisons of underlying operational performance by eliminating infrequent or unusual charges. Similar non-GAAP financial measures including ROIC are used for internal management assessment because we believe such measures provide additional insight into ongoing financial performance. For a full reconciliation of non-GAAP supplemental information, please refer to yesterday's press release and our periodic SEC filings. Joining me this morning are Dean Foate, President and Chief Executive Officer, and Ginger Jones, Vice President and Chief Financial Officer. We will begin today's call with Dean providing second quarter commentary about our market sector performance and outlook, our new business wins and opportunity funnel, and capacity utilization. Ginger will then follow-up with details about the second quarter financial performance and discuss some comments for the third quarter of fiscal 2009. Let me now turn the call over to Dean Foate. Dean?
Dean Foate: Thank you, Angelo. Good morning, everyone. Last night we reported results for our second fiscal quarter of 2009. Revenues were $389 million, with non-GAAP EPS of $0.28. Revenues were within our guidance range, while non-GAAP EPS exceeded our guidance, benefiting from a lower tax rate and aggressive cost cutting. Once again, our revenue guidance in Q2 was conservative relative to our internal forecast. We anticipated further reductions in customer forecasts during the quarter as they responded to further degradation of demand in their end markets. The quarter unfolded largely as anticipated with revenues declining approximately 15% sequentially. All of our sectors were down sequentially and all sectors experienced interquarter demand reductions with a single exception, our Wireline/Networking sector performed slightly better than our earlier expectations. Turning now to some additional comments on our sector performance in the second quarter and our current expectations for Q3. As I stated, our Wireline/Networking sector improved slightly during the quarter, but was still down 12% as six of our top 10 accounts were sequentially down. The improvement over our earlier forecast was driven largely by a leading account that increased demand during the quarter. We currently expect a low single-digit decline in revenue in our Wireline/Networking sector in the third quarter as five of our top 10 accounts are forecasting weaker demand. Offsetting some of the weakness is a continuing ramp of new program wins. Our wireless infrastructure sector performed below our expectations during Q2, declining about 25% in the quarter, as our top five accounts all struggled with weak end market demand. We currently expect Q3 to be another difficult quarter for customers in this sector as we anticipate a 10% sequential decline in revenues. Our Medical sector was down 15% in Q2, performing slightly below our expectations, as our top two accounts continued to experience end market weakness, more than offsetting the sequential increase in demand from six of our other top 10 accounts. Our current outlook for Q3 is for our Medical sector revenues to decline in the high single-digit percentage range as a consequence of broad-based decline in customer forecasts. Our Industrial/Commercial sector declined more than our earlier expectations, down 16% as six of our top 10 accounts reduced their demand during the quarter. We currently expect a mid single digit decline in revenues in Q3, as the majority of our top 10 accounts in this sector are anticipating a challenging quarter, more than offsetting the initial revenues from a couple of new program ramps. Revenues in our Defense, Security and Aerospace sector were down about 13% in Q2, below our expectations, as two of our top 10 accounts missed their earlier forecasts. Looking ahead to Q3, we currently anticipate a low single-digit percentage increase in revenue, primarily as a consequence of new business ramps. Turning now to new business wins. We again enjoyed an exceptional quarter of new business wins, an encouraging trend established two quarters ago and further evidenced that our disciplined sector-based go-to-market strategy, coupled with our strengthening brand, delivers a powerful value proposition to customers looking for the security of flawless execution and a coherent strategy to provide them with a competitive and enduring service offering. During Q2, we won 21 significant manufacturing programs, which we currently estimate will deliver approximately $220 million in annualized revenue, when the programs are fully ramped in production over the coming quarters subject, of course, to the risks around the timing and the ultimate realization of forecasted revenues. The majority of the wins were with our current customers, resulting in share improvements in our core customer portfolio. Now, I typically get questions about the breakdown by sector, so I decided to include some additional color in this report. Keep in mind, that the revenue numbers I am providing are annualized revenue that we anticipate from the programs when they are fully ramped in production. Also, if you sum these sector revenue numbers, the total would be $1 million shy of the $220 million due to rounding. The breakdown by sector is as follows. Wireline/Networking , seven wins, $76 million; Wireless infrastructure, two wins, $48 million; Medical, five wins, $22 million; Industrial/Commercial, four wins, $40 million; Defense, Security and Aerospace, three wins, $33 million. Also encouraging, our overall funnel of manufacturing opportunities continues to be strong with $1.9 billion of qualified new business. The breakdown of the opportunities by sector is healthy. On the Engineering services front, we won approximately $13 million in new programs during the quarter. Our overall forecast for engineering services is holding up relatively well. We are benefiting from the improved execution engineering services business development function. Last year, we aligned the business development function with our sector-based go-to-market strategy, improving processes and accountability. Addressing capacity utilization and global growth, our projected as tooled capacity utilization in the second quarter was approximately 70% with the decline in our revenue forecast and the inclusion of both our Appleton two site here in Wisconsin to support Mechatronics programs and our Hangzhou, China site, which is in proximity to the Shanghai region in China. Both site started production in our fiscal Q1 and began shipping product in Q2. As Ginger mentioned in the press release, our Boston area facility ceased production as planned in Q2. Our team in Boston executed the plan very well and we were successful in retaining the key customers and the associated revenue at other Plexus sites. During Q3, we currently anticipate that our new facility in Oradea, Romania will be production capable. We have most of the facilitation complete and we have hired key management personnel. We are pursuing a number of opportunities with new and existing customers and we are hopeful that we will secure our first program for this facility during the quarter. We could begin production of the new program within 8 to 10 weeks of a customer decision point. Turning now to our guidance. We're establishing fiscal third quarter 2009 revenue guidance of $355 million to $385 million with EPS of $0.18 to $0.25, excluding any restructuring charges and including approximately $0.04 per share of stock-based compensation expense. Our guidance suggests that we'll likely see another quarter with a sequential decline in revenue, although we currently expect a percentage decline to be moderate when compared to the decline in the fiscal second quarter. Despite this relative optimism, the fiscal third quarter could still be quite challenging as we are not immune to the difficulties our customers may experience in their end markets, the overall economic conditions, and the challenges that the swine flu situation may bring. Having highlighted the uncertainties, we feel that we have some cause for cautious optimism. During our monthly forecast cycle in April, we experienced a modest uptick in our full year fiscal 2009 forecast for the first time in eight months. This improvement was due in part to forecast stabilization with some of our legacy customer programs, as well as the revenue forecasted with our many recent program wins. While it would be a stretch to call the results of one forecast cycle a trend, we're encouraged that we maybe experiencing the demand trough. Additionally, our business development teams continue to take advantage of the competitive environment to drive market share gains as evidenced by another exceptional quarter of new business wins that should translate to growth as these programs begin to ramp in the coming quarters, the economy stabilizes, and customer end market demand improves. I will now turn the call over to Ginger for her detailed review of the numbers. Ginger?
Ginger Jones: Thank you, Dean, and good morning, everyone. As Dean mentioned earlier in the call, revenue was in the middle of our guidance range and non-GAAP diluted earnings per share was above our guidance range. Gross margin was 9.2% for the fiscal second quarter, in line with our expectations and lower than the fiscal first quarter results of 10.2%. The decrease in gross margin from the first quarter was the result of lower contribution on the lower revenue levels. I will talk about the headcount reductions we made to operations during the quarter in a few minutes. These cuts were meaningful, but we were not able to flex our cost structure enough to maintain our 10% gross margin target on these lower revenue levels. Selling and administrative costs decreased sequentially 12% to $22.3 million before restructuring charges, and was well below our expectations for the quarter. This reduction was a result of actions taken to proactively manage spending, including a reduction in headcount of approximately 10% of the corporate staff, reduced hiring, and reduced discretionary spending such as consulting services and travel. It was also impacted by lower levels of incentive compensation recorded in the second quarter, compared to what was recorded in the first fiscal quarter of 2009. These reductions were enough to largely align SG&A before restructuring charges with a reduced level of revenue in the quarter, with SG&A costs as a percentage of revenue increasing only slightly from 5.5% in the first quarter to 5.7% in the second quarter. We recorded restructuring charges of approximately $2.3 million in the fiscal second quarter. These charges related to, first, severance charges of $1.4 million, which included approximately 10% of corporate staff and 17% of North American operating headcount. These reductions were made at all of our North American facilities except for our site near Chicago, Illinois. The most significant reduction in operations headcount was at our facility in Juarez, Mexico, where we eliminated the second shift and other positions based on the lower forecasted customer revenue and productivity improvements at the site. Second, asset impairments of $900,000 related to fixed assets from our facility near the Boston, Massachusetts area, that ceased operations during the quarter and corporate software assets that were determined to be impaired. We've also completed modest headcount reductions in our Engineering Services operations, which total approximately 6% of our global Engineering Services staff. These reductions in headcount, along with continued controls over discretionary spending contributed to achieving our gross margin target for the quarter, and delivering SG&A spending lower than our forecast. Also during the quarter, we recorded a non-cash charge in the amount of $5.7 million to write-off the remaining value of our goodwill. The impairment charge was driven by adverse macroeconomic conditions that contributed to an overall reduction in demand for our offerings in the Kelso, Scotland facility. These conditions led to interim goodwill impairment testing in connection with the preparation of our financial statements for the quarter, which resulted in the determination that the goodwill was impaired. This was Plexus' sole goodwill asset and was related to the original acquisition of two facilities in United Kingdom. This non-cash charge does not impact our normal business operations, liquidity or availability under our credit facility. The last item for discussion on the income statement relates to our tax rate. As discussed in the press release, our effective tax rate for the full fiscal year is now estimated to be 7%. This is a reduction from the 10% we estimated last quarter due to lower forecasted earnings and higher tax jurisdictions Lastly, we recorded a discrete tax adjustment in the amount of $1.4 million during the quarter, related to finalization of federal and state income tax audit and changes in state income tax laws. Moving on to the balance sheet and cash flow. The cash conversion cycle increased during the quarter to 78 days, up 10 days compared to the first quarter cash cycle days of 68 and a few days higher than our expectations of 72 to 74 days. Days in receivables increased by two days to 47 days. A more normal level based on our terms with our customers. Days in inventory increased 10 days to 87 days. Although the absolute dollar value of our inventory decreased by $10 million or about 3%, this was not as fast as our revenues declined during the quarter. As a result, we saw an increase in days in inventory. There were two major factors that drove these increases. First, increased inventory with customers who are experiencing softening in their end market and as a result, our inventory position with some of these customers has increased. In some cases, we have mitigated these risks with the collection of cash deposits, which are approximately $28 million or seven days of inventory. We are working closely with these customers to resolve the excess inventory issues in accordance with their contractual obligations. Then secondly, increases in inventory levels to support new customer transition and program ramp. Accounts payable days increased by two days to 56 days. This was the result of a concentrated effort in conjunction with our major suppliers to extend payable terms and our cash cycle through accounts payable. We've made significant improvements in the last two quarters with accounts payable days, increasing six days from the 50 days at the end of the fiscal fourth quarter. Free cash flow for the quarter was, again, very healthy at $26.5 million, attributable roughly equally to earnings and working capital improvement. We spent $6.8 million in capital expenditures for the fiscal second quarter. Year-to-date, we are pleased to say that we have generated free cash flow of $52.4 million. I'll now turn to some comments on the third quarter fiscal 2009. All of these comments are before restructuring charges. Our internal financial targets for the quarter will again be lower than our targeted 20-10-5 financial model based primarily on the lower level of revenue. Gross margin should be consistent with our expectations for the fiscal first quarter, between 9% and 9.5%, based on our forecasted customer mix and the forecasted levels of revenue. Depreciation expense is expected to be approximately $8.7 million to $9 million in Q3, up slightly from the $8.7 million in Q2. SG&A for the third quarter of 2009 should be in the range of $22 million to $22.5 million. This is consistent with our spending in the second quarter, the result of continued restraint in discretionary spending and the restructuring completed in the second fiscal quarter. The full fiscal year 2009 benefit of those reductions is estimated at $2.5 million to $3 million. The revised effective tax rate for fiscal 2009 is projected to be approximately 7%, which is the rate used for the second fiscal quarter as well. I'll remind everyone that we have seen variation in this rate based on the mix of forecast earnings between taxing jurisdictions, earnings in our Asian locations, benefit from negotiated tax holidays in both Malaysia and China, while our U.S. earnings are taxed at the full 38% federal and state tax rate. This variance in tax rate means that relatively minor changes in earnings can result in large swings in the tax rate. Our expectation for the balance sheet are for key balance sheet accounts of inventory, accounts receivable and accounts payable to decline in dollar terms for the third quarter. Based on the forecasted levels of revenue, we expect these declines will result in cash cycle days of 78 for the fiscal third quarter, flat with our cash cycle days in the second quarter. There are a number of moving pieces in our working capital for the third quarter, including inventory for new program transitions, and bringing on board new suppliers to support these programs. These suppliers may have different payment terms than our standard supplier mix. Over time, we will likely be able to improve 80 days on these programs as they come in line with our standard supplier terms. I will now turn to some additional comments on the full fiscal year. The capital spending for fiscal 2009 is estimated to be in the range of $60 million to $65 million. This is a reduction of $10 million from the estimate I gave last quarter, the result of continued scrutiny of our capital spending plan for the year. Based on this level of capital spending, we expect to generate very healthy free cash flow for the year of approximately $60 million to $65 million. We've generated $52 million the first half, so you see cash generation in the second half will be less than in the first half, based on the timing of capital expenditures and working capital investments in the second half of the fiscal year. We are taking what we believe are prudent steps to manage spending, capital expenditures and working capital investments to balance growth and current results to our shareholders. Because of the strong new program wins in the last three quarters, we need to continue to invest cautiously. While we continue to make those investments, we've also demonstrated our ability to aggressively manage our SG&A spending and investments in working capital. Before we take questions, I want to remind everyone that we are planning an Investor Day on June 11, 2009 in New York City. We are planning to share an update on our strategy and review our Industrial/Commercial sector in more detail. We look forward to seeing you there. With that, I will open the call to questions. We ask that you limit yourself to one question and one follow-up.
Operator: (Operator Instructions). Your first question comes from Sean Hannan with Needham & Company.
Sean Hannan - Needham & Company: Just quickly on your top customer, Juniper, I think from a relative standpoint this was pretty decent or strong performance, perhaps certainly a bit higher than a lot of folks I think had anticipated. Can you maybe drill down a little bit more to provide some color on what drove this in March versus December and how we should be thinking about this in the near term?
Dean Foate: Well, once again I like to be cautious about anything I say about Juniper Networks. They like us to be careful about sharing too much about what's happening with Juniper. So I'm going to talk just in general terms. I would just reemphasize that we feel that our relationship with Juniper is quite strong. We like our position with Juniper relative to their outsourcing strategy and the mix of products that they outsource. We believe that we're in a good position to continue to gain share, some of their key products that are moving into the marketplace. I'm afraid I'm going to have to just leave it at that.
Sean Hannan - Needham & Company: So if I can just step back and look at the programs you've won over the last few quarters, last quarter you talked about a specific instance, where the Mechatronics program had basically been scaled back for a less aggressive launch. Can you talk a little bit around the areas of your business, where you have seen that type of OEM action in the last few months in terms of scale-backs, product launches, on the overall revenue opportunity versus what had originally been anticipated? How this speaks to the diversification in your backlog as a consequence?
Dean Foate: I think just generally, all of the new programs are subject to the same kinds of challenges that existing customers are facing with their programs that we already manufacture and that end markets are challenging. When an existing customer comes to us, wants to launch a new product line or new program, many times the revenue associated with that is muted from what their earlier expectations were due to end market conditions or they may delay a quarter or two the launch of the product just to try to manage cost structure. So we're seeing those kinds of things happen with programs that we're bringing in. We are doing our best to provide the annualized revenue that the customers are forecasting associated with those programs. The numbers that I have giving you are adjusted to align as best we can with our current expectations looking forward in the marketplace. Relative to mix, I think that we tend to be doing a pretty good job here, building our portfolio in what we call the non-traditional markets, Industrial/Commercial, Defense Security and Aerospace. Certainly, I think that we're doing a good job getting share there. Medical continues to be challenged. Not because we are not winning new programs. We are. It's just that our top two legacy customers and our business with them were heavily concentrated in imaging. Imaging is under all kinds of pressure in the marketplace. It's an expensive capital purchase for healthcare organizations, the pullback from the U.S. government in terms of reimbursements came into play, as well as now there's quite a bit of concern here that as a consequence of the economic pullback and the loss of jobs, that people are also losing their healthcare programs. So the demand for healthcare services is expected to be challenged here in the coming year, which of course is going to impact the profitability of health providers. So I think it's going to be a tough outlook for some of our customers here in the Medical space, although I would say that there are some good signs and that some of the implantable-related devices that we manufacture continue to do quite well in new market. We continue to gain new customers and new share in that space as well as some of the other smaller instrumentation, some new technologies in Medical. Wireline, our value proposition in that space, the whole communications space is really around our flawless performance for these complex products and our agility to manufacture product very quickly to end market demand, configuring product and fulfilling it directly to customers. We just execute really well on that advanced model, where the customers are more and more moving to a model where they never touch the product. We have a very apparently unique capability to fulfill consistently and provide a tremendous amount of agility to our customers. That's why we continue to gain share there.
Operator: Our next question is from Reik Read with Robert Baird.
Reik Read - Robert W Baird: If I could just follow-up on kind of the ramp of new business. Can you give us some idea of how new business is ramping relative to existing programs? What that new business to existing business mix ratio might be? What over the next couple of quarters might be the margin impact as that mix shifts around?
Dean Foate: I would say right now that we have a fair number of active programs that are ramping in production. I would also just say that the majority of the programs won here in the last couple quarters and this quarter, of the 20 won, 20 of the programs were with existing customers. So we got additional share with this core customer set. So our ability to ramp programs efficiently with existing customers is better when compared to new customers. The expectations are already well understood. We have the infrastructure and the customer team in place that is very experienced at interacting with the customer. So from just a people infrastructure standpoint and focus factory infrastructure, those kinds of things, it's relatively efficient. I didn't really dissect the numbers here with great detail here, looking into the coming quarter. As we look further out, the growth is primarily going to be supported, at least at this point, with new customer programs layering on top of what I would consider to be muted or flat revenues with the existing customer programs. So the customers with their current programs are quite cautious a couple of quarters out relative to forecasting growth and anything that we would see at this point is just new customer growth. Now, I think maybe the good news in that is that when the customers do start to see some improvement in end market demand, we will get some really great leverage here, both with existing programs and the new programs, as the forecasts start to improve. So it's an interesting position that we're in, because we feel like we are really gaining some good share and we're really getting well positioned here to lever up with this kind of core infrastructure that we have in place to support our core customer set.
Reik Read - Robert W Baird: Is it fair to say with the explanation that you just gave, Dean, that in the next couple of quarters there probably is some margin mix headwind because the new programs will be a bigger part of the mix and then that as everything starts to ramp, as you say that leverage kicks in and that's when you really start to see the improvement?
Dean Foate: I'll let Ginger talk to this because, obviously, we're very aware that we are performing below where we would typically like to see our margins, and of course, there are things that we could do now to try to boost margins with additional pullback in some areas. We're cautiously trying to make sure that we have the right people and the infrastructure in place to adequately support the new programs. So Ginger, if you want to weigh in a little on that, go ahead.
Ginger Jones: We have looked at the ramp of new programs over the next couple of quarters and based on that, we do not see a change from the margins we've experienced in the second quarter and what we're forecasting for the third quarter. I would say that Plexus has been historically very good about managing new program ramps efficiently. We would not expect given our current view of both those ramps and the forecasted revenue that we would see a further degradation of the gross margin.
Operator: Our next question comes from William Stein with Credit Suisse.
William Stein - Credit Suisse: Just trying to follow-up first on your number one customer. Is it fair to say that what you've said in the past about both you and the customer targeting about 20% of your revenue coming from that business? Is that fair to say that that's still the right way to think about this going forward?
Dean Foate: Well, again, I think I've talked about this in the past. Neither of us has considered that a hard stop. We've always looked at 20% of revenues as something that we're both very comfortable with, but we also recognize there maybe periods where it gets to be a little larger concentration to that. I would say that the caution flag comes out when we're in the mid-20s and when we get 30% of revenues then the red flag is up and we got to work together to try to solve that issue. So at the level that we're at now and kind of quarter-to-quarter, I don't know if I want to call it volatility, but the swing in terms of how they ship product and how the revenues flow between the various EMS providers that provide them services, I'm not concerned at this point.
William Stein - Credit Suisse: I'm wondering if you can give us two quick updates on other big customers that you mentioned in the past, the big defense customer, is that gone and done at this point. Also, the Mechatronics customer that you've spoken about a bit today, but if we can get maybe a little bit more of an update, that would be great.
Dean Foate: Sure. On the first one, the defense customer, that program, for all intents and purposes is ramped down to a level that it no longer would be, I would say that its earnings kind of profile would be all that meaningful or material that we would feel it necessary to break out. So we are looking at that program of probably somewhere in the neighborhood of $25 million or $26 million through all of F'09. The revenue associated with it in the last couple of quarters here of the year is maybe $4 million. Now, I would say that we just won a little incremental revenue on that program. I think it's somewhere in the neighborhood of $3 million, $4 million and the revenue is associated with one of our, I believe it's a NATO partner, not the U.S. military, but a different government's military and there's some product shipping to them but we don't anticipate that as an early sign of an uptick in the revenues associated with that customer. The other one I think was on the Industrial/Commercial customer that we talked about that we still believe that that program could be very significant to us in fiscal '010. We talked about it being a top 10 to potentially even a top five customer for us in '010. It's a Mechatronics-related program. We are building small quantities of early production units that the customer is field testing with their customer set. As we said, I think on the last call, that that was delayed somewhat from what their earlier launch plan was, but the launch plan now is intact and we expect to see that revenue start to ramp up as we come into 2010.
Operator: Our next question comes from Sherri Scribner with Deutsche Bank.
Sherri Scribner - Deutsche Bank: Wanted to get a little more detail on the defense segment. I think you said, Dean, that that business would be up in the low single digits sequentially.
Dean Foate: Yes.
Sherri Scribner - Deutsche Bank: From your comments just now, it sounds like that's not related to the defense customer that we've talked about in the past. Can you give us a little bit of more detail in that segment, what you're seeing?
Dean Foate: This has been one of these sectors that we participated in fairly passively a couple of years ago and we sort of focused a sector team on this sector. We felt that we had a real good strong position here to gain market share and we've done a nice job of winning new programs with three or four different defense-related providers as well as we continue to get share in the aerospace component of that sector. So we are consolidating and gaining share with a major Aerospace company as well as adding some programs with some of the other defense-related companies in the market.
Sherri Scribner - Deutsche Bank: Then Ginger, in terms of the gross margin number looking forward as we move into the end of the year and thinking about it longer term in fiscal 2010, do you expect that number to tick back in fiscal 2010 to your more typical 10% range? Or what do we need to see there before that number starts to come back to what we're used to seeing for your gross margins?
Ginger Jones: We would absolutely expect to see it come back to our 10% gross margin target. The biggest driver for that is going to be when the revenue comes back. So I would expect that as revenue gets closer to the $450 million that we saw in the December quarter, which as you recall is when we just a quarter ago when we had a 10.2% gross margin, I think that is the biggest driver of when we'll see a return to that traditional 20-10-5 financial model.
Sherri Scribner - Deutsche Bank: So thinking about the 450 as sort of the point where we might see that.
Ginger Jones: Yeah, I don't know that we are going to disclose that precisely, but something in that range, yes.
Operator: Our next question comes from Shawn Harrison with Longbow Research.
Shawn Harrison - Longbow Research: Just a follow-up question on the program wins. You said the majority were with existing customers. How much of that was brand new business coming from those customers to you versus just replacement of end of life?
Dean Foate: Well, the bulk of it is brand new programs, but you get into the debate about if you've got a new technology that's substantially got new features and new functions and it replaces some other product line that's being cancelled, is that brand new or is that a follow-on or what is it? So we try to do a pretty good job of saying, look, if we've got an existing product number that we get additional demand for, that's not a new program win. If we have to go out and compete for the business, the customer is bidding it out to multiple EMS providers, usually that is the launch of a new product, either that has taken them in a new direction or is a substantial change from the legacy product, then we would consider that to be a new program win. So the bulk of what we're talking about here are just that. They're new program wins.
Shawn Harrison - Longbow Research: Do you think some of these are share gains from maybe struggling competitors or is it just this new business that it's the first time it's being outsourced?
Dean Foate: No. Well, a fair amount of this is share gain. Some of this revenue that we're talking about today is coming directly out of our competitor's facilities.
Shawn Harrison - Longbow Research: Then just two quick follow-ups. Ginger, you mentioned in inventory overhang at customers. How long do you expect that to kind of continue? The other question is just that you've brought two new facilities online here and then you have the third facility in Romania coming online. Maybe if you could just kind of discuss the margin headwind, if any, you're feeling from the two, right now, and then once you bring Romania online too, just so we could try to model that.
Ginger Jones: Yeah, absolutely. What was your first question?
Shawn Harrison - Longbow Research: The inventory, the customer inventory.
Ginger Jones: Yeah. The customer inventory is really going to be dependent on how quickly the end markets recover for some of those key customers. So it's a handful of customers. We are working with them. As you know, they are contractually obligated to take that into inventory, so we're working with them to either have them give us cash deposits to help mitigate our risk. In some cases, we will work with them that they'll actually take the inventory. In other cases we may hold it for another couple quarters and see how their end markets do. So I would say I think we have several quarters ahead of us, where we're going to be working that inventory down. We certainly hope that we'll get some benefit from a bit of a recovery in the end markets to help with that. If not, we'll work through with them other contractual ways of either getting deposits or getting paid for it. On the headwind from the new sites, we do have two new sites that are in operation now. That's our Mechatronics facility in Appleton and our new site in Hangzhou, China, and coming on board in Q3, our site in Oradea, Romania. Each of those is a modest drag on the quarter in the range of kind of $0.01 to $0.02. I think in total, the drag in Q3 and Q4 is going to be in the range of $0.03 to $0.04 for all three of those facilities.
Operator: Our next question is from Amit Daryanani with RBC Capital Markets.
Amit Daryanani - RBC Capital Markets: Just a question on the Mexico operations. Given all the headcount reductions you've done this quarter, could you just sort of talk about what the breakeven level is on that site? What sort of a drag should we expect from there and June and September, essentially?
Ginger Jones: Unfortunately, despite the significant restructuring we've done there, our customers' revenues have decreased enough that we have not seen a return to breakeven and we don't currently predict that we'll see one in F'09. We have talked traditionally that the breakeven point for them is about $25 million of revenue a quarter. It's certainly less than that now, given the restructuring. We're currently forecasting revenues for that site of between $18 million and $20 million a quarter. So we've had significant reductions in demand. I think we are going to have to see revenues go back above $20 million consistently before we're going to see breakeven there.
Amit Daryanani - RBC Capital Markets: Then Ginger, I guess on the SG&A side, I assume most of these headcount reductions were probably done interquarter. Given that assumption, why wouldn't we see SG&A come down in June, because you realized benefits from these cost savings for three months versus a partial saving in March?
Ginger Jones: I think that's a good point. We certainly will see slightly higher savings in the June quarter. I think that what we're balancing is SG&A is that given the new program ramps that are coming, we are adding back some headcount particularly in customer facing positions, customer managers, certain key positions at the site. If possible things will change, we may do a little bit better, but that was our best estimate of SG&A for the June quarter.
Amit Daryanani - RBC Capital Markets: Finally, the one big Mechatronics customer that you talked about in the past, I think your past expectation essentially become a 10% plus customer for us. Is that expectation still intact for fiscal 2010?
Dean Foate: Yes.
Operator: Your next question will come from Jim Suva with Citigroup.
Jason Brueschke - Citigroup: This is Jason Brueschke calling in for Jim. A couple questions on the new wins. Can you talk a little bit about the pricing dynamics in getting those wins? You mentioned that some of them are going to come out of facilities of other EMS providers, so a little bit of detail on what the pricing dynamics are like these days.
Dean Foate: Yes, I think EMS pricing is always competitive, but we have not to a great extent seen it become irrational. So the wins that we're bringing in today are in that realm of kind of normal competitive pricing, not going out into the marketplace and feeling like we have to kind of turn our pricing model upside down in order to win new business. So we feel this is good, profitable revenue that's got our ROIC above the weighted average cost of capital in each of these programs.
Jason Brueschke - Citigroup: Then Dean, you mentioned that some of these are coming out of other EMS providers and some of them are perhaps new products. Can you give us a little bit of sense of where that breaks down? I guess it would be helpful to try to get whether this is actually $200 million in net new revenue or whether some of these programs are going to cannibalize some of your existing revenue?
Dean Foate: Yeah, as you might imagine, there's a lot of pieces and this is the slippery slope I get on when I provide any detail. Then I end up with trying to provide you all this breakdown, which is highly variable. I would say for sure, the majority of this revenue, perhaps 70% of it is certainly new revenue, maybe, 80% of it is new revenue to the company. So these are programs that we had not built in the past that are not an extension of an existing program by any stretch. It's just basically new product lines that are coming into the company.
Jason Brueschke - Citigroup: Do have you a sense of whether those new product lines are going to cannibalize any of your existing revenue?
Dean Foate: Some of the non-80% or, whatever it is, some number there, will, certainly.
Jason Brueschke - Citigroup: Lastly, have you seen any impact yet from…
Dean Foate: Let me just get back to this one. I just want to remind people that even in a normal condition you have to think about anywhere between 5% to 8% of our revenue is going end of market under normal conditions, so that's kind of the way we think about it. So if we just stood still, won nothing, in a normal business environment, now, this is not a normal business environment with the economy the way it is, but you would see about that much of the business disappear as a consequence of end of life.
Jason Brueschke - Citigroup: Then lastly, any impacts yet from the swine flu in Mexico and your production down there?
Dean Foate: Well, this is moving fast. Angelo here is also in-charge of Enterprise Risk Management for the company and just let him give you a little bit of an update on the swine flu situation, but I just want to emphasize, things are changing quite rapidly here and there was some news even overnight coming out of Mexico. So go ahead, Angelo.
Angelo Ninivaggi: Dean, thanks. First of all, I could say that there hasn't been to-date any effect on our operations down there. In Juarez, so far, as of yesterday, data is changing quickly, there were 22 unconfirmed cases of swine flu victims. We have executed in taking precautions on our emergency management plan for infectious disease and there is three main elements to that. One is to enhance the sanitary conditions at the site. Second thing we've done is we virtually eliminated travel to and from the site. The third, maybe most important thing that we've done is set up what we think is a pretty robust communication process to increase the awareness of employees relating to symptoms and what they should do if they're experiencing them. We have a doctor and two nurses on site to help do that. We've also ensured that there is effective information sharing within the company and then to our customers and other stakeholders. Beyond that, we are also developing, if matters continue to worsen, to develop contingency plans such as connecting with some of the former employees that we've laid off to inquire on their availability if we should need them or diverting non-critical business resources to more critical ones.
Operator: Your next question will come from Brian White with Collins Stewart.
Brian White - Collins Stewart: Ginger, just on the inventory situation, I'm just looking inventory to revenue was 86%, the highest level since fourth quarter 2000. How will this impact your margins as you work down inventories in the coming quarters?
Ginger Jones: I'm not sure that we are anticipating a big impact. Clearly, as we work through inventories that will impact our revenue levels and there are some customers who have inventories to work through, we believe we've taken the appropriate level of reserves. Inventory risk is always a significant issue for an EMS company, even though contractually our customers are obligated for that inventory. In a difficult situation, particularly in the last downturn, there were some significant inventory write-offs. We feel like we've been prudent about recognizing reserve. We work with our customers every quarter on inventory in good and bad times, so we feel like we've done what we can to manage that risk.
Brian White - Collins Stewart: Do you happen to have the finished goods inventory number?
Dean Foate: I'm glad you brought that up, Brian.
Ginger Jones: I do.
Dean Foate: If you look inside, the combination of finished goods and work in process actually came down pretty decently during the quarter. We did see the actual leveling or somewhat of an uptick in raw material during the quarter to support some of the new programs.
Ginger Jones: Yes. So the details here of the $336 million of inventory at the end of the second quarter, $242 million of that was in raw. That was basically flat from the December quarter. The balance of about $100 million in inventory is raw, work-in-process and finished goods. That was down about 10% from the December quarter. So the decrease makes sense to us, that customers are working through that WIP and the finished goods as we'd expect them to and that we have kept raw flat primarily to support new program ramps.
Brian White - Collins Stewart: On the modest uptick in some of the forecasts, Dean, where are you seeing more optimism as you look out throughout the year in your different end markets?
Dean Foate: Well, Brian, I don't know that I'd be willing to put a rating on the optimism relative to the different sectors. I just think it's just too early right now. There's too many moving pieces and customers are too busy trying to reset expectations. I would just say that at this point, we believe that there is just very little inventory, if any, in the channel associated with the customers. So the customers have done a pretty good job I think at this point of getting that inventory worked down. I think that that is evidence now in our forecast. So we saw a dramatic drop in revenues, of course, from Q1 to Q2. You go back all the way back to our December forecast, I think we saw $100 million of revenue drop out of our full year forecast back in December, somewhere in that timeframe. So we saw it come down really hard. That was the customers really reacting to the inventory in the channel and the reduction in end market demand that they were seeing. Now we're starting to see some stabilization of that which gives us at least some pause or some hope that we maybe in this kind of trough up. It's really too early to get a sense of where we're seeing optimism and how the different end market sectors are going to kind of come out, if they're going to come out early cycle or late cycle. It's just too early yet.
Brian White - Collins Stewart: In the com area, it still seems to be pretty soft in the June quarter. Do you think that more the end market is declining sequentially or they're still working through inventories in the June quarter?
Dean Foate: I think it's primarily an end market situation for the most part at this point.
Operator: Your final question is from Steven Fox with CLSA.
Steven Fox - CLSA: Dean, just curious, on the Mechatronics program, are you saying that it's more related to design issues than the economy in terms of the delay as to your original expectations for revenues?
Dean Foate: Well, I think, initially, it was really more related to the economy. So the customer really felt that they needed to manage their cash and manage their investments carefully. There's a lot of money, let's just say being invested beyond the device that we are going to manufacture. So they kind of reconsidered and reset the whole project plan. That did give everyone some time to further refine the design. So that really came as a consequence of the slowdown in the schedule. I think it's going to turn out to be a good thing because I think the product design will be a better design, a more stable design and it will be higher quality. So I think it improves the chances of end market success, quite frankly.
Steven Fox - CLSA: Lastly, when you look at the average size of the new program wins, I mean, the detail you gave was great. Is there any change that you're seeing in that plus or minus by served market because of what's going on in the world?
Dean Foate: I would say that interestingly enough, I think we're winning more chunks in our sweet spot. So we are starting to get into this, $40 million, $60 million chunks, which really are associated with one or two things. Either a piece of business that we're extracting away from a competitor, which in some cases is larger competitors, in some cases is smaller competitors. Also, we're starting to see some OEMs start to execute on a more accelerated exit strategy of the current manufacturing footprint. So we're gaining a bigger chunk of revenue. Although, I would say that when we talk about these chunks of revenue when they come out of customer manufacturing plants, typically they're multiple product lines that come all at once.
Operator: At this time, we have no further questions. Are there any closing remarks?
Dean Foate: Yes. I'd like to just thank everyone for listening this morning. I would like to say that it certainly is difficult managing through these economic declines, but we really feel quite good about where we're positioned in the marketplace. I think we're realists. We understand that if conditions continue to stay at the level they are, that we will need to take further actions and we have a game plan in place to do that if it's necessary. At this point, we're quite hopeful here that we're going to start seeing some recovery in the economy here. It may not happen in the back half of '09, it maybe in '010 event. We are starting to believe that we're seeing some evidence of at least some stabilization on the horizon, which is then hopefully we'll see recovery after that. We also feel quite good about the rate of new program wins and the size of new program wins, and I think that's really a consequence of three things. I think one, our go-to-market strategy, as far as customers are concerned, is quite coherent. We really have positioned ourselves well in this low-to-mid volume kind of higher mix space. The customers get it and they understand how our supply chain and our manufacturing operations are really fine tuned to provide them great services. From a cost standpoint, pricing standpoint, we're very competitive. We think that we've built a lean organization that has high levels of productivity and that allows us to be very competitive on pricing and compete head-to-head with some of our larger competitors that have different models. I think the environment is actually benefiting us. I would say that if we're out on the game field, we're 70% on offense. I would say that in this environment, not all of our competitors can say they're playing offense. I think there's a fair amount of defense being played and that is offering us opportunities to gain market share as well. So with that, I want to thank everyone for listening today and thank you for your support of Plexus. Let's hope that we start to see some recovery and let's hope that this swine flu thing doesn't turn in to be another super challenge for folks around the world. It's a little scary at this point, but I want you to know that we're doing everything we can to mitigate any risks associated with that. Thank you.
Operator: This does conclude today's conference call. You may now disconnect your lines.